Operator: Good morning. My name is Shiquana, and I will be your conference facilitator today. At this time, I would like to welcome everyone to Boise Cascade’s First Quarter 2013 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer period. (Operator Instructions) Before we begin, I’ll remind you that this call may contain forward-looking statements about the company’s future business, prospects and anticipated financial performance. These statements are not guarantees of future performance and the company undertakes no duty to update them. Although, these statements reflect management expectations today, they are subject to a number of business risks and uncertainties. Actual result may differ materially from those expressed or implied in this call. For a discussion of the factors that may cause actual results to differ from the results anticipated please refer to Boise Cascade recent filings with the SEC. It is now my pleasure to introduce you to Wayne Rancourt, Senior Vice President, CFO and Treasurer, Boise Cascade. Mr. Rancourt, you may begin your conference.
Wayne Rancourt: Thank you, Shiquana. Good morning, everyone. I’d like to welcome you to Boise Cascade’s first quarter 2013 earnings call and business update. Joining me on today’s call are Tom Carlile, our CEO; Stan Bell, Head of our Building Materials Distribution Operation; and Tom Lovlien and Tom Corrick, leaders of our Wood Products Operations. Turning to slide two, I would point the information regarding our forward-looking statements. It remains our practice to reframe from giving earnings guidance. There are reconciliations in the appendix for those interested in the calculation of adjusted net income and EBITDA. And with that, I’ll turn the call over to Tom Carlile.
Tom Carlile: Good morning. Thank you for joining us today. I’m on slide three. Housing starts continue to strengthen in the first quarter compared with level seen in early 2012. Total U.S. housing starts were up 36% but single-family starts up approximately 28%. The Blue Chip consensus forecast for 2013 has moved up to a million starts as of the April report, which is encouraging. We are seeing impact of more residential construction activity on demand for our products in most areas of the country and expect seasonal strengthening in the Midwest and Northeast now that we have moved into spring. Our 27% sales growth in the first quarter resulted from a number of favorable elements. Our wood products manufacturing segment, we saw further strengthening in plywood pricing and shipments, as well as higher engineered wood products sales volume. In our building materials distribution segment sales volumes were up as demand from increase construction activity pull product through the distribution channels. BMD also benefited from price inflation on many of the products we distribute, particularly commodity wood products. We reported adjusted net income of $12.2 million in the quarter, excluding impact of recording net deferred tax assets upon our conversion to a corporation. Net income was $1.7 million in the first quarter of 2012. Both of our businesses delivered strong earnings performance in the first quarter compared to the same period in 2012. Wood products EBITDA increased by 62% to $27.1 million. BMD’s first quarter EBITDA was $10.2 million, up sharply from $1.4 million reported in the comparable period. I’m encouraged by performance in the first quarter and in the current momentum in the business. The demand backdrop is mostly better than this time last year and we are getting good leverage on our fixed costs as our sales strengthen in both businesses. We are seeing upward pressure in log cost which is something we will be paying close attention to as we move out of spring break -- breakup and into the logging season particularly in the Pacific Northwest. With that overview for the quarter, I’ll ask Wayne to provide more detailed financial result.
Wayne Rancourt: Thank you, Tom. Before I get started on slide four, I wanted to point out that we have included additional segment operating results data in our earning release this morning and segment working capital data in our statical information for those interested in modeling each business separately. On slide four, wood product sale were $269 million in the first quarter, up 28% compared to the year ago quarter. The sales increase was attributable primarily to 24% highest plywood sales prices, 28% higher laminated veneer lumber sales volumes and 37% higher I-joists sales volumes. Higher lumber sales volumes and prices, as well as plywood sales volume also contributed to the segments sales grow. Wood products first quarter EBITDA was $27.1 million, up 62% from the year ago quarter and up 104% from the $13.2 million of EBITDA the segment generated in the fourth quarter of 2012. Improved plywood, lumber and EWP pricing all contributed to the positive earnings changes for both comparable periods offset by higher wood fiber costs. BMD’s quarterly sales increased 29% to $581 million due to 18% higher prices and 9% higher volumes than in first quarter 2012. Volume growth and general line products lack the stronger volume growth experienced in commodity wood products and engineered wood products, which tend to be more directly influenced by single-family new home construction. BMD’s first quarter EBITDA of $10.2 million was $8.8 million higher than the $1.4 million of EBITDA reported in first quarter 2012 and $2.1 million higher than the $8.1 million of EBITDA earned in fourth quarter 2012. The strong topline growth and expense leverage partially offset by 50 basis point lower gross margins drove the six-fold increase in BMD’s EBITDA compared to the year ago quarter. Turning to slide five, in wood products our plywood sales volumes were up 5% compared to the year ago quarter. Our first quarter $331 average net sales price for plywood was up 9% from the fourth quarter and up 24% compared to the first quarter 2012. Plywood demand and pricing early in the second quarter continues to be strong with high capacity utilization rates in our veneer and plywood mills. Turning to slide six, our first quarter sales volumes for LVL and I-joists were up 28% and 37%, respectively, compared with the year ago quarter. Improving new single-family home construction activity was the primary driver of our strong sales volumes Our first quarter 2013, LVL sales realizations improved 6% from the fourth quarter of 2012 and were up 1% from the year ago quarter, I-joists realizations also increased 6% sequentially and were up 3% from the first quarter of 2012. We did announce 5% to 8% price increases on our various engineered wood products effective March 1st of this year and we’re expecting impact of those price increases to start to show up in the second quarter with additional gains in the third quarter. With higher dimension lumber prices and improving EWP capacity utilizations, we believe the industry dynamics for engineered wood products are becoming more favorable. Moving to slide seven, BMD’s strong sales growth continued in the first quarter with revenues reaching $581 million, up $130 million or 29% compared to the year ago quarter. Calculated on an incremental basis, BMD generated EBITDA margins of approximately 6.8% on the additional sales volume. Certainly the strong market environment for commodity wood products gave the distribution business additional revenue and earnings lift again in the first quarter of 2013. BMD is carefully monitoring its inventory position as the current commodity pricing environment creates some challenges in the form of higher working capital levels. Inventory positions of higher commodity prices also presents some risk to gross margins at prices were to weaken. One can see on the right hand chart that with the strong growth and new residential construction and the pricing environment for commodity wood products, general line sales have represented a smaller proportion of our overall BMD sales mix over the last several quarters. Many of our general line products, like composite decking and siding experienced demand from repair and remodel activity, as well as new residential construction. On slide eight we have set out the key elements of our working capital. Most of the inventory growth from year end occurred in our distribution segment with accounts payable providing most of the funding. This statistical information filed as part of our 8-K this mornings, has a receivables inventory and accounts payable data, broken down by segment for those interested in the detail. I would expect working capital to be in use of cash again in the second quarter as sales activity ramps up seasonally. I’m now on slide nine. The increase in accounts receivable and inventories along with the pay off of the $25 million outstanding borrowings during the quarter from our bank line had a major impact on the calculation of our bank line availability, which jumped from a $196 million up to $290 million during the quarter. Even with our working capital growth in the first quarter of $263 million in net IPO proceeds, give us a very good quarter end cash position. Combined, our cash and bank line availability, favorably positioned us with over $500 million of usable liquidity at quarter end to support our growth plan. And with that, I’ll turn it over to Tom.
Tom Carlile: Thank you, Wayne. Our outlook hasn’t really changed much since our year end earnings call in early March. We expect 2013 to show continued improvement in the demand for a single family homes and we’re encouraged by what we’re achieving in our two businesses, on cost leverage and pricing. We still have a long way to go to get back to historical demand levels, but it is nice to be operating with some tailwinds. Thank you again for joining us on our call this morning and your support as investors. We’d welcome any questions at this time. Operator, would you please open the phone lines?
Operator: Yes sir. (Operator Instructions) Your first question comes from the line of Phil Gresh representing JP Morgan. Please proceed.
Phil Gresh - JP Morgan: Hi. Good morning.
Tom Carlile: Good morning, Phil.
Phil Gresh - JP Morgan: And so first question is just, on the plywood side, we’ve obviously start to see a little bit of a tick down in the OSB prices. And so, I guess, my question would be, how quickly do you start to see, kind of the incremental pull back to OSB from a demand side. I know there is some overlap on the demand between OSB and plywood, and the price has somewhat moved together, but I’m just curious, is that usually quick and just kind of what are you seeing in the business you talked some pretty optimistic outlook for 2Q on plywood?
Tom Carlile: Yeah. Phil, OSB prices dipped -- ticked down a little bit last week where plywood didn’t. I don’t know that I can give you a definitive answer, because they do trend together. OSB prices have escalated more than plywood prices, but they overtime will trend together. I think the operating rates on plywood are likely to be better overtime than may be OSB as capacity is added, but we’ll have to see what the demand level is.
Phil Gresh - JP Morgan: Okay. And then just on the wood products, in this quarter, Wayne, were you guys positive price cost on a year-over-year basis or are you still trying to kind of catch up with inflation you’ve been seeing?
Wayne Rancourt: In total we’re obviously very positive price to cost, particularly in plywood.
Phil Gresh - JP Morgan: And on EWP?
Wayne Rancourt: On EWP less of, if you look at it year-over-year certainly the escalation we’ve seen in veneer cost and in OSB. They probably compress margins relative to price increases on EWP. It’s certainly favorable sequentially, fourth quarter to first quarter, with a improved pricing on EWP, but if you looked at a year over year, I think cost have moved up more than pricing on EWP, if you were to compare first quarter of ’12 to first quarter of ’13.
Phil Gresh - JP Morgan: Got it. Okay. And then, just my last quest is on the building product, building material distribution side, I mean, very nice performance on the EBITDA there. And I think you’d mentioned 6.8% drop through. That was a drop through of EBIT from volumes with respect to sales from volumes, is that what the number was?
Wayne Rancourt: No. Just looking at, if you look at the change in EBITA, and divide it by the change in revenue, so clearly the price changing that we’re on commodity wood products is giving us quite a bit of topline leverage on fixed cost, in that business, payroll and occupancy.
Phil Gresh - JP Morgan: Right. Okay. So do you expect, I mean, is this level of EBITDA is something you would expect to be able to continue for the rest of the year though?
Wayne Rancourt: In terms of the leverage on sales?
Phil Gresh - JP Morgan: Yeah.
Wayne Rancourt: I think we -- forth quarter and first quarter, in particular as you look at what’s gone on with commodity prices, I think we’ve probably we’ve got more leverage coming out of the sales, because of what’s going on prices on commodity. So if you think about our gross profit margins, we’ve had -- clearly had benefit the last six to nine months from an improving commodity price environment. And as prices move up we tend to see expansions in gross margins and if prices would’ve ticked overly we would see compression in gross margins certainly on a commodity lines.
Phil Gresh - JP Morgan: Right. Okay. All right. Thanks a lot.
Wayne Rancourt: You’re welcome. Thank you.
Operator: Your next question comes from the line of Chip Dillion representing Vertical Research. Please proceed.
Chip Dillion - Vertical Research Partners: Yes. Thank you and good morning. I noticed in -- from slide six that the sequential improvement in both I-joists pricing and in LVL pricing, looks to be at least mid-single digits or higher. And I guess, my understanding was that prices didn’t really start moving up till later in the quarter. So I was wondering, is my impression wrong or could there be a mix effect here?
Wayne Rancourt: Well, if you look at the sequential change from fourth quarter, part of what you’re seeing is the impact of the prices that were -- price increases that were put through in the second half of ’12. And typically, it takes a little while for the price increases to actually work that way through to our net realizations when you go through implementation of the price increases, places where we may have price protection agreements in place. And that’s why I say, if you look at the price increase that was announced March 1st, I’d expect to see some impact from that in the second quarter and then see additional impact from those rounds the price increases in the third quarter.
Chip Dillion - Vertical Research Partners: Okay. And then moving onto -- you mentioned that you expect working capital primarily in distribution to move up in the second quarter and obviously a lot of that seasonal. And then just that we understand, would you then expect to see that come down pretty substantially in the second half of the year? Is that sort of the normal pattern in the bottoms in the fourth -- at the end of the year?
Wayne Rancourt: Yeah. Usually, once we get passed October 1 and particularly once we get passed thanksgiving, you will see fairly substantial drop in the receivables and we’ll pull our inventories down as we get towards year-end. So we’re looking at working capital particularly in the distribution business. We’d clearly be at the low point in that year-end period.
Chip Dillion - Vertical Research Partners: And then next question, just on engineered wood and you may have given us rough number out at some point. But when you look at your competitors, I mean, obviously you guys are backward integrated for the most part at least on -- when you net everything out in terms of making your plywood. And when you look at your competition, I mean, obviously there is one -- another competitor in Washington state that has full backward integration as well, I understand. But do you have significant proportions of the industry that run where they have to go out and buy most of their plywood and OSB?
Tom Carlile: Chip, yeah, we think that we have -- maybe the highest integration back to self-generated veneer and plywood that feeds EWP business.
Wayne Rancourt: But we are exposed on OSB for web stock on our I-joists. But there are a number of people producing I-joists that would be fully exposed on external veneer and OSB. And I’m quite certain those producers are not having much fun in engineered wood at the moment.
Chip Dillion - Vertical Research Partners: Got you. I would agree with that statement. Okay. Well, this is very helpful. Thanks.
Tom Carlile: Thanks Chip.
Operator: Your next question comes from the line of Mark Wilde presenting Deutsche Bank. Please proceed.
Mark Wilde - Deutsche Bank: Hi. Couple of questions around plywood. What’s your practical volume for the year, would you estimate?
Wayne Rancourt: On plywood if I think about what we’re likely to produce?
Mark Wilde - Deutsche Bank: Yeah. Exactly.
Wayne Rancourt: Yeah. The product we would produce as plywood will probably be in the $1.250 billion to $1.300 billion and then we’ll take part of that plywood volume, we’ll use it to produce it in the internal product that we call parallel laminated veneer, which is essentially plywood-like product with the grain running all the same direction. We take that forward into our EWP operations.
Mark Wilde - Deutsche Bank: Okay.
Tom Carlile: But if you look at our external sales, there is probably, as I’d say $1.2 billion or $1.3 billion and then we’ll probably have another 100 million or so square feet that we are buying on the outside and resell those plywood.
Mark Wilde - Deutsche Bank: Okay. All right. So sort, of a -- sales would be like $1.3 million to $1.4 million. Is that right?
Wayne Rancourt: That’s correct.
Mark Wilde - Deutsche Bank: Okay. All right. And you guys, I think took some deferred. You took some deferred maintenance in December when the market was very, very good. Is there any kind of catch-up effect from that, that’s going to show up one of these quarters?
Wayne Rancourt: I don’t think we had deferred maintenance. We did have a dryer project at our Florien, Louisiana mill.
Mark Wilde - Deutsche Bank: Yeah. Okay. I was thinking that when we were out there in December, you guys had mentioned that you were going to run through that Christmas holidays when you usually took things down?
Tom Carlile: Mark, we did take down a green end as well but it’s -- we manage around it. So it’s not -- other than the dryer project, it’s not a material impact.
Mark Wilde - Deutsche Bank: Okay. And can you just talk about what you’re seeing out there in terms of any plywood coming back into the market. I saw some kind of a press release three or four weeks ago but somebody down in Georgia, talking about the 20% addition to kind of plywood and lumber capacity but they’re not somebody that usually talks to Street analyst?
Tom Carlile: Mark, we read the same announcement and we don’t have visibility of how much of that’s plywood, how much of that’s lumber or so. We think anybody that’s got plywood plants trying to run as hard as they can right now.
Mark Wilde - Deutsche Bank: Okay. Tom, have you seen any restarts?
Tom Carlile: The only one that’s way out is -- there is a mill in Central Washington, in Omakthat has been idle for us a number of years that has been announced that it will restart but I think its several months out.
Mark Wilde - Deutsche Bank: Okay. All right. Could you just put a little more clarity around the increase in kind of log and stumpage prices? As my impression is when logs are moving up on the west coast but I didn’t know whether you are seeing anything down in the south yet?
Tom Carlile: Mark, they have moved up in the west coast. And there is some seasonality going on as well in the first quarter and maybe a little bit of moderation from very high level from the west. In the south, we are seeing some modest increase in the south. And again you need to get through the west season and others to see how much that would be on annual basis.
Mark Wilde - Deutsche Bank: Okay. And my last question, Tom, could you just talk a little bit about sort of what you’re seeing in the M&A environment in terms of asset values?
Tom Carlile: Well, yeah, this is a tough question, Mark because we don’t comment but it appears there is some activity out there. I would suspect people are trying to leverage off of what they view as great momentum in earnings and pick up on housing. So I don’t have a comment on values but there is some activity.
Mark Wilde - Deutsche Bank: Okay. All right. Sounds good. I’ll turn it over. Thanks very much and good luck in the second quarter.
Tom Carlile: Thanks Mark.
Operator: Your next question comes from the line of George Staphos representing Merrill Lynch. Please proceed.
George Staphos - Merrill Lynch: Thanks everyone. Good morning. Congrats on the first quarter out of the box. And also great stat package and information you provided. It’s one of the best on the Street. So thank you for all that details. Guys, my first question, now, how are the projects like Rogue Valley proceeding. And how do you think your strategy for improving operations and efficiencies sets up well relative to what you’re seeing in the market in terms of restart and pricing in demand thus far in the year?
Tom Carlile: George, let me try at this and see if I can get to your point of view. We are starting up facility in Rogue Valley in the West Coast in the White City area. And the product would be raw material for EWP.
George Staphos - Merrill Lynch: Right.
Tom Carlile: So what we make there is we’ll feed the growth that we’re seeing in the EWP. The start-up is going well as planned. And it’s going just as we expected. So I think we feel good about that.
George Staphos - Merrill Lynch: Based on the other projects, Tom, again were you, maybe trying to debottleneck, not necessarily to obviously produce more plywood but just to improve your efficiencies and flexibility down the road.
Tom Carlile: Our primary focus is to produce more veneer. And our projects are generally based on improving efficiency in our dryers and through our dryers. We have another dryer project this year. At this point, all of them are going well and all of them have exceeded our expectations. So we’re pleased with what we’re seeing now.
George Staphos - Merrill Lynch: Okay. Is there anything else going on in terms of improving lay-up capacity or is it mostly on the dryer side?
Tom Carlile: Well, there is nothing major on the lay-up capacity other than Rogue Valley.
George Staphos - Merrill Lynch: Rogue Valley.
Tom Carlile: But we continued to improve our productivity throughout the year.
George Staphos - Merrill Lynch: Okay. Thanks for that. Can you give us -- I guess looking back into it, but what do you think your current operating rates are in EWP right now?
Tom Carlile: Yeah. Around 60% now plus or minus but it’s kind of -- we would say around 50% during the first quarter.
George Staphos - Merrill Lynch: Okay. Thank you for that. You provide a lot of volume statistics and again, we appreciate all of that detail. If you had to think about it in terms of -- I don’t know tons of wood or some real and uniform metric across all your businesses. What do you think your volume was up year-on-year in the quarter, obviously versus first quarter ’12?
Tom Carlile: Well, let’s get back to -- 
George Staphos - Merrill Lynch: Get out, breakout the calculators. Okay.
Tom Carlile: That’s not, when we normally think about in that way. But, yeah, if you come back to either Greg Sanders standards or I, we will see if we can help you on that one.
George Staphos - Merrill Lynch: Yeah. The reason for the question, I was just trying to compare it to the direct cost metric you provided in wood products to see if there was more or less than that 25% that you had just for wood but that’s fine we can come back to it. I guess my last question and I will turn it over. How were residual markets in the northwest? Were they helpful, hurtful, neutral? I know it’s not a big number but I was just curious.
Wayne Rancourt: The residual pricing is trending down.
George Staphos - Merrill Lynch: Okay. All right, guys. I will turn it over.
Wayne Rancourt: Thanks, George.
Operator: Your next question comes from the line of Adam Rudiger representing Wells Fargo Securities.
Adam Rudiger - Wells Fargo Securities: Hi. Thank you. Following up on just one of the previous questions on the 60%-ish operating capacity EWP. Can you talk through how you think maybe over the next year or two, as that ramps based upon your history where you start seeing durability to raise prices and margin expansion and just really how that, how would you expect that to transpire as demand continues to improve?
Wayne Rancourt: Directionally, Adam, I will try this. As the operating rates improve, it helps to increase price and it’s already being discussed that the cost pressure on EWP side is escalating at a fairly high rate. I would expect to see more price movement in the EWP business as we move through the year and currently as we -- as operating rates climb back up towards 80%, 85%. But historically when operating rates have moved about 65% towards 70%, you will start to see price momentum. And then sounds that it improves certainly when you get into the 80s. And we are hopeful this time that we will see some more behavior.
Adam Rudiger - Wells Fargo Securities: Is your expectation for price increases for the rest of the year, would that be more, just based on what you just said more cost driven rather than utilization driven?
Wayne Rancourt: I think it will be both, Adam.
Adam Rudiger - Wells Fargo Securities: Okay. And then my other question, but if you already mentioned I apologize. But can you talk a little bit about the gross margin of the distribution business and what happened there? And if its mix related, which I suspect it is, how that should frame your famous thoughts going forward if that mix maintains itself?
Wayne Rancourt: Let me try and Stan Bell, what it’s here in. We will see if that will work it. The gross margins come down a little bit and our volume of direct shipments on commodities did increased, which generally has a lower gross margin. But it also has much lower operating cost, so you get to leverage bottom line versus the gross margin line. As the market continues to improve, we still see the margin change around some of the seasonal related flow. So, I would say I would be surprised if there is much continued downward trend on the gross margin.
Adam Rudiger - Wells Fargo Securities Adam Rudiger - Wells Fargo Securities: Okay. And then one more question, then I'll wrap up. On the distribution side, is there any history of -- you mentioned earlier that there could be some higher working capital requirements. Is there any history of you being able to, since it's a service, charge more once your working capital requirements increase?
Tom Carlile: Let me see if I understand the question. Part of our offering is have the products and have the balance sheet to support our customers and to degree, they want more support which might be inventory and having the product there that probably is a relationship to higher margins in that business. But our DSO and other things stayed pretty consistent, so we are not out there offering extended term.
Adam Rudiger - Wells Fargo Securities: Okay. Thank you.
Operator: Your next question comes from the line of Steve Chercover representing D. A. Davidson. Please proceed.
Steve Chercover - D. A. Davidson: Good morning, everyone.
Tom Carlile: Good morning, Steve.
Steve Chercover - D. A. Davidson: First question, I know you don't give guidance, but is it fair to say that Q1 exceeded your expectations?
Wayne Rancourt: Let me maybe answer this way. Q1 commodity prices did exceed what we expected when we started the quarter, yeah.
Steve Chercover - D. A. Davidson: Okay. Yeah. I mean, they certainly were on the proper trajectory. The $69 million tax benefit that you enjoyed in Q1, I just want to clarify. Those aren't NOLs. So is it still appropriate to use the mid-30s tax rate for modeling purposes?
Wayne Rancourt: Yeah. I would still use 38%.
Steve Chercover - D. A. Davidson: 38%. Thanks, Wayne. Okay. And just a couple other quickies. You might have kind of touched on this, but is the drop in OSB incorporated into your optimism for engineered wood or is that just the March price increased throughput?
Wayne Rancourt: Well, the OSB cost is a factor in the cost of engineered wood. Engineered wood tracks fairly, clearly a long residential construction. So, I think that’s driving as much as anything.
Tom Carlile: Yeah. I think the optimism probably stems from the fact that the volumes are going up and while Weyerhaeuser and LP and others have announced, but assuming there seems similar increases in volume. Part of the optimism stems from the fact that the industry operating rates are probably getting up towards the level where normally producers wood see more price leverage relative to the buyer. So if we continue to see housing starts move towards a million units and higher in ’14, we would suspect the industry operating rates will be more favorable and therefore pricing opportunities will be in front of us.
Steve Chercover - D. A. Davidson: Perfect. Okay. Thanks for taking my questions.
Tom Carlile: Thanks, Steve.
Operator: And your next question comes from the line of Alex Ovshey representing Goldman Sachs. Please proceed.
Alex Ovshey - Goldman Sachs: Thanks. Good morning, guys.
Tom Carlile: Good morning.
Alex Ovshey - Goldman Sachs: A couple of questions for you. So excellent quarter, almost as good as the third quarter of last year, which is seasonally a much stronger quarter for volumes. And then as we look at the seasonal pattern for profitability in the business, there's a very distinct pattern that we see where most of the money is made in the second and third quarter. I mean, if we held pricing constant at the exit run rate, should we expect to see that same type of seasonality in the business in the second and third quarter as we've seen in the past?
Tom Carlile: I won’t say no. If I look at where prices are in the first quarter and where volumes have been. I mean, frankly, the first quarter in terms of the demand side, weather issues and pricing has been much better than we’ve seen in our first quarter in the industry in a very long time. So I will not change the percentage changes that you would typically see seasonally from first to second and second to third and into fourth and overlay those in ’13 because I need you to end up with much higher numbers than what would be appropriate.
Alex Ovshey - Goldman Sachs: Okay Wayne, got it. And then as I look at your net pressurization for private, its fantastic, but relative to the benchmarks we track the discount as widened and I would think part of that as just the slope of the line for the increase in prices during the quarter, so as you look at your book of business and then apply it again assuming pricing is flattish relative to the exit run rate, is there a catch up in the plywood prices that you see in your book of business as you ship the orders that have been taken in the first quarter during the second quarter?
Wayne Rancourt: I don’t know that we would view there is a catch-up. We do have an order file. I think our pricing tracts very well for the specific products that we sell. So if there is a difference, it’s a mix issue.
Alex Ovshey - Goldman Sachs: Okay.
Tom Carlile: And price time order versus time shipment. We do have a part of our sales book where we price at the time we take the order versus where random is at the time new order ship. So I guess, I am not surprised if you say that there is a little bit of a lag in our realizations relative to weekly turn on random lengths. That wouldn’t surprise me at all.
Alex Ovshey - Goldman Sachs: Understood why and then let me shift to the distribution business. Is there a way to quantify the balance and EBITDA from the higher selling prices that we saw in the quarter? So may be I am not sure if there is still a way to classify the inventory gains if you will?
Tom Carlile: Well it goes to one of the earlier questions around margins. I think you’ll tend and well obviously for competitive reasons I am not going to break this out. You’ll tend to see improvements in gross margins around commodity prices as prices are moving up and so if prices were to change and move downward sharply in the second quarter, we would expect to see compression in the gross margins around our commodity lines. And I am not going to quantify that aspect for you, but if you look at the individual segment statement that we provided for you on Building Materials Distribution as part of the earnings release, you can clearly see the leverage on SG&A and G&A.
Alex Ovshey - Goldman Sachs: Okay. We will take a closer look. Wayne then my last question and I will turn it over and I may have missed this, but you talked about the general line business not seeing the volume up-tick or I think you said that even volumes were flattish in the general line business. Can you just remind us again what end markets you have exposure to in that business?
Wayne Rancourt: Well let me give you a good example. Trex composite decking is a very big product line for us that would be in general line. There is not a lot of people in the North East building dex between November and March. So we would expect to see that product in particular in the Northern tier to have higher sales as we go in the second and third quarter.
Alex Ovshey - Goldman Sachs: Okay. Got it. Thank you.
Tom Carlile: Thanks Al.
Operator: Your next question comes from the line of Matthew Dodson representing JWest LLC. Please proceed.
Tom Carlile: Good morning Matt.
Matthew Dodson - JWest LLC: Hi could you -- you alluded to it earlier and I think there was a follow-up question, but could you talk a little bit about stumps in the south and I guess how much of your purchasing that you get from there and can you just talk a little bit about the though process of prices moving up over the next couple of years. A lot of the suppliers there are very bullish and if that happens, will that be -- have negative ramifications for you or positive ramifications?
Tom Carlile: Matt, I think you are asking what do we see in wood cost in the South.
Matthew Dodson - JWest LLC: Yes sir.
Tom Carlile: Wood cost increase in the South would flow through as an increase in cost in our business. So to the degree cost increase in wood, it increases our cost and you hope you can pass that on to the end product. Having said it different way, the demand for wood in the south is driven by conversion, converged like us, so it’s likely that cost increase won’t happen unless there is higher end product prices over time. So we have seen some modest increase in stumpage in the south, but we think you need to look at it on seasonal basis and not necessarily just in the first quarter.
Matthew Dodson - JWest LLC: So just to follow up that, the increased cost, is it up $1 or $2 or $3 or can you give us any kind of or is that competitive?
Tom Carlile: Matt, I don’t have that and we generally talk about percent increases and we typically don’t do that in the year.
Matthew Dodson - JWest LLC: Okay.
Wayne Rancourt: We will file our 10-Q in the first week of May and we will have some additional MD&A in there, but we are probably looking at single digit increases, mid single digits in the south and higher than that in the last.
Matthew Dodson - JWest LLC: Okay. Great. Thank you.
Operator: You have a follow-up question from the line of George Staphos representing Merrill Lynch. Please proceed.
George Staphos - Merrill Lynch: Thanks. Hi guys. Just real quickly. To the extent that you can track it and based on your experience, we are pleased with the working capital efficiency in the quarter and overall more broadly the cash flow generation, obviously the deferred tax payment was a big hit and now with your leverage off of working capital compared to past recovery periods, thanks and good luck in the quarter.
Tom Carlile: Thank you, George. 
Wayne Rancourt: Well let me start on the deferred tax that is a non-cash item. So that didn’t impact us at all and in the first quarter in terms of cash and the working capital build was pretty much in line with expectations, a little less of a pad on the utilized orders than we would have thought. So we may see some of that continue into the second quarter. In terms of the inventory and receivables, very much in line with what we would typically see this time of the year. We usually use cash really through the April, May period and then it starts to level out on working capital as we go through the summer months and then we have a return on working capital as was mentioned earlier as we get into the fourth quarter. So pretty much in line but again we will likely have working capital use again in the second quarter, but it will less than what we saw in the first quarter.
George Staphos - Merrill Lynch: Okay. Fair enough, guys. Thank you.
Tom Carlile: Thanks.
Operator: We have a follow-up question from the line of Chip Dillion representing Vertical Research. Please proceed.
Chip Dillion - Vertical Research Partners: Yes, hi. I know this is really small but can you have the lumber production and realization for the first quarter?
Tom Carlile: Yes, give us one second, lumber, the volumes were 49.8 and the prices were $463 compared to $414 in the prior year.
Chip Dillion - Vertical Research Partners: Got you. Thank you.
Tom Carlile: Okay. 
Operator: At this time, there are no further audio questions.
Tom Carlile: Well, we want to thank you all for joining the call today and we appreciate your interest in our company and if you have any follow-up questions, please give us a call. Thank you.
Wayne Rancourt: Thanks Shiquana.